Operator: Good day, everyone, and welcome to the Fiscal Year 2026 First Quarter Earnings Call for Netcapital Inc. At this time, all participants are on a listen-only mode, and we will open the floor for your questions and comments after the presentation. It is now my pleasure to hand the floor over to your host, Coreen Kraysler, Chief Financial Officer at Netcapital. Ma'am, the floor is yours.
Coreen Kraysler: Thank you, Matthew. Good morning, everyone, and thank you for joining Netcapital's First Quarter Fiscal 2026 Financial Results Conference Call. I'm Coreen Kraysler, CFO of Netcapital Inc. I will begin by reviewing our financial results, and then our Chief Executive Officer, Martin Kay, will share his prepared remarks before we open the Q&A portion of our call. Before we begin, I'd like to remind everyone of the safe harbor disclosure regarding forward-looking information. Management's discussion may include forward-looking statements. These statements relate to future events or future financial performance and involve known and unknown risks, uncertainties, and other factors that may cause actual results to be materially different from any future results, levels of activity, performance, or achievement expressed or implied by these forward-looking statements. Any forward-looking statements reflect management's current views with respect to operations, results of operations, growth strategies, liquidity, and future events. Netcapital assumes no obligation to publicly update or revise these forward-looking statements for any reason, or to update the reasons actual results could differ materially from those anticipated in these forward-looking statements, even if new information becomes available in the future. With that said, I'd like to now turn to our financial results for the first quarter fiscal 2026. We reported revenues of $190,058 for the three months ended July 31, 2025, which was an increase of approximately 34% as compared to $142,227 during the three months ended July 31, 2024. The increase in revenues was primarily attributed to an increase in portal fees and an increase in revenues for the services that we provide in exchange for equity securities during the quarter. One issuer that accounted for 73% of our revenues in the three months ended July 31, 2025, was responsible for the increase. That issuer successfully raised approximately $5 million from March 24, 2025 to May 30, 2025. We reported an operating loss of approximately $3.3 million compared to an operating loss of approximately $2.5 million for the first quarter of fiscal year 2025. We reported a loss per share of $1.27 compared to a loss per share of $5.10 for the first quarter of fiscal year 2025. As of July 31, 2025, the company had cash and cash equivalents of approximately $4.6 million. I'll now turn the call over to our CEO, Martin Kay.
Martin Kay: Thank you, Coreen, and thank you again to all our shareholders for being on this call today and for your continued support and interest in the company. As Coreen mentioned earlier, we began the new fiscal year with encouraging results. Revenue and portal fee growth of more than 30% highlights the solid performance of our core business. On our recent fiscal 2025 year-end call, we emphasized the strategic shift in our business model, moving away from equity-based consulting revenue to focus on building a stronger, more scalable business. While fiscal 2025 presented challenges, we're pleased to see this vision taking shape in the first quarter of fiscal 2026. We remain committed to driving long-term growth through innovation, execution, and focus to build the best fintech ecosystem. In addition to improved financial performance, we achieved several significant milestones this quarter. We established a crypto advisory board composed of accomplished industry leaders to guide our efforts in integrating blockchain, digital assets, and crypto with traditional finance. This initiative positions us to play a larger role in fintech and to explore opportunities in decentralized finance, or DeFi. We also launched a game advisory board to advance our strategic growth initiatives and deepen engagement with the online game community. This board brings together innovative leaders whose expertise will help us expand our ecosystem and drive long-term growth. With our Netcapital Funding Portal and our broker-dealer Netcapital Securities Inc., we already serve a broad base of issuers and investors. By enhancing our services through blockchain, crypto, and digital asset innovation, we hope to position the company to help lead the future of private market opportunities for companies raising capital and direct investment opportunities for investors. Thank you again for your support, and we look forward to continuing to share our progress in the months ahead. Operator, we're ready for questions.
Operator: Certainly. Everyone at this time will be conducting a question-and-answer session. If you have any questions or comments, please press star one on your phone at this time. We do ask that while posing your question, please pick up your handset if you're listening on speakerphone to provide optimum sound quality. Once again, if you have any questions or comments, please press star one on your phone at this time. Please hold while we poll for questions. Thank you. Once again, everyone, if you have any questions or comments, please press star then one on your phone. Please hold while we poll for questions. Thank you. That concludes our Q&A session. I'll now hand the conference back to Martin Kay, CEO, for closing remarks. Please go ahead.
Martin Kay: Thank you. Once again, thanks to all who joined today. We appreciate your continued interest and support of Netcapital. Have a good day.
Operator: Thank you. Everyone, this concludes today's event. You may disconnect at this time and have a wonderful day. Thank you for your participation.